Operator: Greetings, and welcome to the Cengage Group's First Quarter Fiscal Year 2026 Conference Call. [Operator Instructions]. And please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Richard Veith, SVP, Treasurer at Cengage Group. Sir, the floor is yours.
Richard Veith: Good morning, and welcome to Cengage Group's Fiscal 2026 First Quarter Investor Update. Joining me on the call are Michael Hansen, Chief Executive Officer; and Dean Tilsley, Chief Financial Officer. A copy of the slide presentation for today's call has been posted to the company's website at cengagegroup.com/investors. The following discussion and the earnings materials contains forward-looking statements within the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements can be identified by words such as believe, expect, intend, may, could, should, will, estimate, likely or similar words and in other historical facts nor assurances of future performance and relate to future results and events, and they are based on Cengage Group's current expectations and assumptions. Forward-looking statements relate to the future and are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control. Forward-looking statements are not guarantees of future performance, and you should not rely on any of these forward-looking statements. Many factors could cause our actual results and financial condition to differ materially from those indicated in the forward-looking statements. You should consider such factors, many of which are subject to the risks and uncertainties discussed in the slide presentation, which accompanies this call and in the Risk Factors section of our fiscal 2025 annual report for the year ended March 31, 2025, as may be updated by our quarterly reports for fiscal year 2026. Any forward-looking statement made during this discussion or in the earnings materials is based on currently available information and speaks only as of the date of this discussion and the date of the earnings materials. The company disclaims any obligation to publicly update or revise any forward-looking statements, whether written or oral, except as required by law. On today's call and in our slide presentation, we will refer to certain non-GAAP financial measures. Definitions and the rationale for using these measures and reconciliations of each to its most directly comparable GAAP financial measure are provided in the legal disclaimer and in the appendix to the slide presentation. I'll now turn the call over to Michael for an update on the business, followed by Dean, who will take you through the first quarter details before we open the call for questions. Michael?
Michael E. Hansen: Thank you, Richard. Good morning, and thank you for joining us for our first quarterly update of our fiscal year 2026. I'm pleased to share our progress this quarter as we continue to transform Cengage Group into a more agile, innovative and growth- oriented company. This quarter, we completed the resegmentation of our business into 4 distinct units: Higher Education; Work; School; and English Language Learning. This new structure aligns with how our customers engage with us and enables faster decision-making and execution. We have also implemented a new global operating model, which enhances our ability to scale innovation and drive operational efficiency across the enterprise. Let me now turn to our financial performance. The first quarter is consistently our smallest and should be considered within the context of the entire year. Adjusted cash revenue for Q1 was $254 million, down 8% year-over-year, primarily due to a nonrecurring revenue stream in the first quarter of fiscal year 2025 and a low adoption year in our School business. When normalized, revenue was down just 2%. Adjusted cash EBITDA was $15 million, down 61% year-over-year, primarily due to the lower revenue and higher cost of sales from our revised Big Ideas Learning partnership. We are seeing strong momentum across our business, driven by our growth strategy, which is centered on 3 pillars: digital acceleration; education for employment; and AI-powered innovation. We are embedding AI into our portfolio of products to enhance the user experience and drive internal efficiencies in content development, marketing and customer support. Our continued investment in AI, product innovation and customer success is fueling our long-term growth. Within our Higher Ed business, our AI-powered student assistant is scaling to more than 100 higher ed titles this fall, and more than 1 million students will have access to this vital tool that will improve learning outcomes, enhance learning experiences and drive engagement. We are exploring partnerships and further enhancement to complement our current suite of AI- powered tools, including the Student Assistant and Faculty Insight dashboard. Our Work business continues to outperform expectations, driven by Ed2Go, where we successfully expanded the employer channel and improved enrollment productivity. We are developing and testing exciting AI-powered tools that will further enhance the adult learners experience and best prepare them for future jobs and careers. I look forward to sharing more details about these new products in future updates. In School, we are executing on our AI-enabled product development road map, including tools like the AI Lexile Leveler and AI-powered content studio, which are delivering value to both educators and learners. I would also like to take this opportunity to welcome Marty Lange as the General Manager of our School business and the most recent addition to my executive team. In closing, with our first quarter in the books, we remain confident that the strength of our diversified portfolio will help us deliver another year of adjusted cash and GAAP revenue and EBITDA growth. We are executing with discipline, investing with purpose and positioning Cengage Group for sustainable long-term value creation. Thank you all for your continued support. I will now turn the call over to Dean Tilsley, our CFO, who will provide more details about our financial performance. Dean?
Dean Tilsley: Thank you, Michael, and good morning, everyone. As Michael mentioned, we have completed our reorganization into 4 distinct segments: Higher Education; Work; School; and English Language Learning. I will now walk you through our financial performance for the quarter ended June 30, 2026 (sic) [ 2025 ], based on this new segmentation. To assist you, we have also included within the appendix a reconciliation to the previous segmentation going back to 2023. Let me start by highlighting that Cengage Group, based on our updated segmentation is primarily a Higher Education and Work- focused company with 70% of adjusted cash revenues and cash EBITDA deriving from these 2 segments. The company continues to demonstrate strong underlying growth momentum despite our first quarter being a seasonally small quarter and timing on nonrecurring items. Our trailing 12-month adjusted cash revenues reached $1.52 billion, up 2% year-on-year and adjusted cash EBITDA is up 10% year-on-year when normalized for nonrecurring items. This performance reflects the strength of our Higher Education and Work segments as well as the continued impact of our cost-saving program, which is driving margin expansion across the business. Adjusted cash revenues of $254 million were down 8% year-on-year as reported, but down 2% when normalized for nonrecurring items in the first quarter 2025. Adjusted cash EBITDA came in at $15 million, a decline of $24 million year-over-year, primarily due to nonrecurring revenue items and the timing of our enhanced Big Ideas Learning partnership, which was effective January 13, 2025. The company continues to demonstrate its sharp focus on expense management and its ability to execute operational savings to improve financial performance. This is part of the company's DNA, and I'm pleased to update you that the company will recognize an incremental $60 million in fiscal year savings for 2026. This follows $60 million in savings recognized in 2025. I also want to highlight that we reduced total first quarter cash burn to $109 million, a significant improvement from the $132 million in the first quarter of 2025 and $166 million in first quarter 2024. Moving to our results by segment. Within our Higher Education segment, the U.S. Higher Ed business continues to be the driver of growth. First quarter cash revenues up 7% year-over-year normalized for a large nonrecurring renewal and reduction in excess sales return reserve in the same period last year. The sustained U.S. Higher Ed growth is driven by institutional sales, up 19% year-over- year and digital sales up 8% year-over-year. On a trailing 12-month basis, institutional revenues reached $333 million, representing 50% of total U.S. Higher Ed market sales. Higher Ed Q1 adjusted cash EBITDA declined year-on-year as reported, reflecting nonrecurring revenue items. On a normalized basis, our first quarter adjusted cash EBITDA would show double-digit growth. The Work segment represents over 20% of the group's revenues with direct cash EBITDA margins close to 50%. Strong demand for job and career-aligned skills, coupled with a large and growing market positions this very profitable segment as a sustainable driver of growth for the company. Ed2Go delivered 24% year-over-year revenue growth, marking its 11th consecutive quarter of double-digit growth. Performance was driven by strong demand, triple-digit growth in our employer sales channel and focused investments leading to improved enrollment productivity. The rest of the Work segment adjusted cash revenue performance was impacted by government funding constraints that moderately reduced student enrollment. We are starting to see signs of enrollment recovery within Q2 and expect improvement in revenue performance in the second half of the fiscal year. The School segment had a challenging first quarter with 2026 being a known off-cycle adoption year with no large deals to match the large deals in the same period last year, plus $5 million of Q1 billings slipped into our second quarter. The overall strategy for 2026 within School is to focus on winning open territory sales, which we are executing successfully with improved win rates. On January 13, we executed our enhanced partnership with Big Ideas Learning. This has been a prosperous partnership over the years, and the new terms significantly enhance the financial upside to Cengage in the medium to long term. In addition to the BIL partnership, we are also making strategic content and go-to-market investments to place us at the forefront for success with the large adoption cycles in fiscal years '27 and '28. Seasonality and the upgraded BIL partnership did impact Q1 adjusted cash EBITDA, but we expect the remainder of the year to be close to flat year-on-year as we enter the main sales season. Q1 adjusted cash revenue for our English Language Learning segment declined 8% year-on-year due to the strategic exit from the low-margin Ministry of Education contract. Normalizing for this contract, adjusted cash revenues on a trailing 12-month basis grew 8% year-over-year, driven by strength in the U.S. and EMEA markets. We have refocused this segment on core markets and strategic go-to-market initiatives to position this key segment for sustainable growth in the expanding market for English Language-based Learning. Turning to cash flow and liquidity. Cengage delivered a strong cash flow performance this quarter, reflecting operational discipline, deleveraging and timing benefits. Free cash flow improved by $36 million year-over-year, supported by royalty payments being pulled forward into the fourth quarter of fiscal '25, cash collections and reduced spend. As you know, we hit our cash trough during the first quarter. This year, we materially lowered our cash usage to $109 million, down $23 million from the $132 million in the same period last year and down $57 million from the $166 million during the first quarter of fiscal 2024. Also of note, our first quarter cash balance includes a preferred dividend payment of approximately $14 million not paid in Q1 2025, reflecting the strong cash position for the company. Our total liquidity reached $343 million, up $22 million from June 2025, driven by lower cash burn and enhanced working capital performance. Our net leverage ratio improved to 2.9x, reflecting EBITDA growth and reduced cash outflows. The cumulative deleveraging over the past 24 months, coupled with strong operating discipline, reinforce our ability to navigate macroeconomic challenges while executing our growth strategy. So in summary, despite seasonal and timing-related headwinds, Cengage Group delivered a resilient performance with strong momentum in our core segments, continued digital transformation and disciplined financial execution. We are now entering our main sales season with strong pipelines and execution. We are confident that full year '26 will be our fifth year of strong revenue and EBITDA growth for the business. Thank you, and I look forward to your questions.
Operator: [Operator Instructions]. Thank you. As we have no questions on the lines at this time, this will conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.